Operator: Thank you for standing by ladies and gentlemen, and welcome to the Tsakos Energy Navigation Conference Call on the First Quarter 2020 Financial Results. We have with us, Mr. Efstratios Arapoglou, Chairman of the Board; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Thursday, 11 of June 2020. And now, I'll pass the floor over Mr. Nicolas Bornozis, President of Capital Link, Investor Relations, Advisor of Tsakos Energy Navigation. Please, go ahead, sir.
Nicolas Bornozis: Thank you very much, and good morning to all of our participants. I am Nicolas Bornozis of Capital Link, Investor Relations Advisor to Tsakos Energy Navigation. This morning, the company publicly released its financial results for the first quarter of 2020. In case you do not have a copy of today's earnings release, please call us at 212-661-7566 or e-mail us at ten@capitallink.com, T-E-N @capitallink.com and we will have a copy for you emailed right away. Please note that parallel to today's conference call, there is also a live audio and slide webcast, which can be accessed on the company's website on the front page at www.tenn.gr. The conference call will follow the presentation slides. So, please we urge you to access the presentation slides on the company's website. Please note, that the slides of the webcast presentation will be available and archived on the website of the company after the conference call. Also, please note that the slides of the webcast presentation are user controlled, and this means that by clicking on the proper button you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor Statement. This conference call and slide presentation of the webcast contain certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties, which may affect TEN's business prospects. And at this moment, I would like to pass the floor to Mr. Efstratios Arapoglou, the Chairman of Tsakos Energy Navigation. Mr. Arapoglou, please go ahead, sir.
Efstratios Arapoglou: Thank you, Nicolas. Good morning and good morning to all. I hope that you and yours are all well and staying safe and healthy. Citing Q1 results, once more delivering consistent justification of TEN operating model. As we've said many times in the past a model that provides stability of earnings at all times and flexible enough to capture all market opportunities as they arise. This coupled with best-in-class cost containment and an impeccable health and safety record, allows us to comfortably meet our obligation to reduce debt. And as you've seen, increase our originally declared dividend by 50%, all of this we believe is gradually beginning to be reflected in our stock price, which is, in any case, expected to benefit from our announced reverse split, as it will make our shares, we hope more attractive to a much broader professional investor audience. Once again congratulations by all to Nikolas Tsakos and his team. We wish them continuation of the good market and greater success for the rest of the year. Thank you and over to you, Nikolas.
Nikolas Tsakos: Thank you, Chairman and good morning to all of you. It is really very nice and I think to be able to be in touch with you again after 10 weeks where we have our last – our last earnings call. I think a lot has gone on there since then. A lot of or lots of experience unprecedented periods and many of us have had a lot of, I would say pain within the family due to COVID virus. We had our last meeting –last discussion on March 24th and at that time, I think we were in the beginning of a very uphill battle as far as personnel issues. But for us other than the personnel issues, very important has been the safety of the 2,000 seafarers on board, the ships all over the world that has to admit there has made our -- made all us greyer and wiser this -- less than 10 weeks. But we are happy to announce, not only that we were able to operate in this unprecedented time with 97% efficiency, but also not to have an -- award because it can happen at any means, as in the case of the virus – of the virus in any of our vessels. So, I think with that in mind, we not only we had a very profitable quarter but more importantly a healthy and safe quarter for all. And I think going forward, we believe that TEN has enable to navigate since the 28 years, we've been on the public markets for very significant extraordinary crisis, not the crisis coming out of shipping really. But I mean, we started -- we differed crisis of the older crowd around would remember between 1996 or 1997. And that was old. I would say this helped us scale of our development and our new building program after that, so the company being much stronger than that. Then in 2001 for two years, we had the 911 crisis that really stopped a lot of world trade. And put all of us in shock. But again, the company was able to come out of that even stronger with a significant growth. And then in 2009, the credit crisis which really with the oversupply of tonnage, it was just starting to come out at the end of 2019 when we started enjoying finally a balanced market and then we were hit with the COVID. So -- but again, I believe that we have placed the company in a model that can navigate successfully and profitability. This crisis as we are improving and we are looking at this were – that is the most important part of it not the financial crisis, I think it's the human part of it is the most important as a new starting point in 2020 for the company as we go forward. We believe that the fundamentals of our industry are very strong. We believe that this crisis could when it turns around could have very safe recovery. The order book in comparison -- the order book for those of you around, you should remember in 2009 was about 40% of the world's fleet was on order in 2009, less than 11% of the world's fleet is on order today, 50% of the new building capacity of 2009 has completely been eroded and it has been closed down and the world is growing. In 2009, we had an immediate 5% reduction of seaboard trade, the immediate seaboard trade reduction in the last couple of months was a 2%, and I think we are evolving from that. So this gives us a very good chance that we are going to be seeing strong fundamentals for 2020 and forward. What we did during this period, we took advantage of the crazy rates of March and April in the middle of long isolations and walks all over the parks to charter our fleets instead of a one whole year for $200,000, for two years at $60,000 and $70,000 talking about VLCCs and other types of vessels. So with that on mind, we have placed the company to be able to navigate, again the following quarters and years going forward efficiently. We are looking at very attractive possibilities coming from major clients. I think we might be announcing very attractive transactions that will have strong effects to our bottom line coming forward. We are in the final process of negotiating this. And with this overview in mind, I will ask George Saroglou to remind us what we've gone through in the last 90 and more days. And then we will be back. George?
George Saroglou: Thank you very much, Nikolas, and good morning to you all. 2020 has so far been a year for the history books. What started in China, as a local health problem ended up gradually spreading around the world, creating a global pandemic of unprecedented proportions, which almost put the whole world to a complete standstill, as a result of government mandates its lockdowns, social distancing measures, to contain the spread of the virus. In this global health crisis, our first priority was the health, safety and well-being of our families, our office personnel and the crude border vessels, of equal importance was to make sure that there was no business disruption, failure, or downtime as a result of working remotely. The lockdown and the difficulties global containment measures imposed on shipping. Both onshore and offshore personnel adapted quickly and successfully to the new reality, a big thank you to everybody. And while life, the economy and the world is opening again, let's be on guard until COVID-19 poses no longer any threat to anybody. We are pleased to report today a very strong and profitable first quarter. One of the best quarters for TEN as a result of favorable market conditions, low oil price environment, super contango with record land and floating storage of sea and limited new supply of tonnage, despite the unprecedented demand destruction from the global lockdown. There is a spillover effect of the strong rates into the second quarter. We are not currently at the headline record breaking rate levels, which are not sustainable, but the trade environment in the medium to long-term outlook continues to be very positive. Let's go to the slides of our presentation. In Slide 3, we see that since TEN's instruction 1993, as our CEO mentioned, we have faced four major crises. But each time the company, thanks to each operating model, which is built to be crisis resistance has come out growing stronger and bigger in size. From four modern vessels in 1993 to a pro forma fleet of 69 vessels to-date, for an average 15% annual growth in term of debt we see in the four decades we operate. In Slide 4, we see the pro forma fleet and its current employment profile. We have a combination of fixed time charters and flexible employment contracts. Time charter with profit-sharing, CoAs and spot charters that capture the market’s upside. All blue color vessels 30 in the slide are on fixed rate time charters while the red and dark-red color vessels 39 or 60% of the fleet currently in the water has exposure in the market’s upside. We have 11 vessels opening for charter in news during the year with one vessel opening before the end of this quarter, nine vessels in the third quarter and one in the fourth quarter. Slide 5, the left-side presents the all-in breakeven score for the various vessel types we operate in TEN. As you can see, the cost base is low. In addition to the low shipbuilding costs, which must highlight the purchasing power of Tsakos Columbia Shipmanagement, the continuous cost control efforts by management to maintain a low OpEx average for the fleet, and the low general and administrative expenses, while keeping a very high fleet utilization rate, quarter-after-quarter with 97% being the utilization number for the first quarter of 2020. On the right-side of the slide, you see that the fixed vessels cover basically all the costs and the spot rating vessels, thanks to our financial and commercial strategy are there to pay for the dividends. Now, in addition, in addition for every $1,000 increase in the spot rates, we have a positive impact of $0.08 in the annual earnings per share based on the number of 10 vessels have currently have exposure to spot markets. Debt reduction, as we can see in the next slide, is an integral part of the company strategy. Since the end of 2017, we have to reduce debt by $282 million. We have repaid in full the 50 million preferred Series B shares in 2019 and intend to initiate at par the repayment of the 50 million Series C preferred shares during the third quarter. Net debt to capital ratio at the end of March 2020 is 46.5%. We have not just taken advantage of the strong markets to pay down debt, but we continued to reward our shareholders with healthy dividends. We announced today a special dividend lf $0.025 per share, in addition to the fixed $0.05 per share we pay semi-annually. This $7.5 per share dividend will be paid on June 26, if the company’s listing in the New York Stock Exchange in 2002, we have paid back in the form of dividends $10.93 versus an IPO price of $7.50, which will presents an average yield of 5.25%. On the market, Black April appears to be month, where oil prices and global oil demand bottomed. China is the first country where lockdown restrictions eased and now demand appears to be coming back at the pre-COVID-19 levels. As the world graph journey returns from lockdown restrictions, oil demand gradually recovers. The International Energy Agency and other market experts believe that the oil market is going to rebalance sooner than initially forecasted, thanks to the unprecedented mandate of the market related production cuts by OPEC and non-OPEC producers and the stimulus packages by governments and central banks to restart the economies and restore consumer confidence. The year-end demand level at about 92 million barrels per day will take us back to the 2013 oil demand levels. If we look back to 100 million barrels per day, the pre-COVID-19 levels, it would take us back into 2021, provided that we will not face a second global lockdown with a similar proportion. The International Monetary Fund also expects a strong recovery for global GDP in 2021, which always is positive for energy demand. Let's not forget that the oil price as long as it last besides being good for the global economy is a blessing and it stimulates stockpiling and reduces the bunker fuel bill for shipping companies. On the supply of tonnage in slide 9. The order book currently stands at 8.3% or 381 tankers over the next three years, which is low compared to the historical levels. We should also notice that big part of the fleet is over 15 years and environmental regulations, which push more tankers approaching for above 20 year go for scrapping, and this figure of vessels over 20 years is currently 7% of the fleets, which more or less balances the orderbook of 8.3% as it stands right now. On the last slide, slide 10. 2018 was one of the highest scrapping years of records. Last year's scrapping was lower as expected. The strong freight market and the pandemic has put scrapping to a standstill, but with more than 1,200 tankers older than 15 years, we could see a pickup in scrapping with more environmental regulations on the horizon, and especially for those vessels approaching or currently above 20 years. And with that, we conclude the operating part of the discussion and we move on to Paul on the financial discussion. Paul?
Paul Durham: Thank you, George. So we've had a strong quarter one, ending with significant cash reserves, mainly due to voyage revenues of $180 million helped by full employment and with only one dry docking. This was 22% higher than in the prior quarter one, and led to a doubling of operating income to $55 million and of net income to $21 million, after non-cash bunker hedge losses, and including a $1.6 million gain from the sale of the Suezmax C&T [ph]. Broken down, we had 46 tankers on pure time charter earning revenue of $80 million of these 16 vessels had profit share arrangement that provided a further $20 million. The two LNG carriers, enjoying increased rates together earn $10 million, also 17 vessels from aframax’s, LR2, handysize operated in the spot market earning $70 million. EBITDA amounted to $90 million, a 40% increase over the prior quarter one. In addition, free cash from vessel sales totaled $27 million. Operating expenses increased 4%, mainly due to loading of extra provisions and supplies, in light of the spreading pandemic, but daily average OPECs per vessel remained at $7,900 a day. The sale and leaseback of two Suezmaxes resulted in increased charter-in costs by $2.5 million, but much of this is offset by interest saved by repayment of the related loans. G&A costs increased $1 million, partly due to one-off professional fees. Otherwise, daily average G&A costs remained low, with no increase in management fees for many years. Falling oil prices led finance costs to rise to $33.6 million, of which non-cash negative bunker hedge valuations totaled $16 million. These are already reversing as oil markets rebalance. Actual loan interest fell by nearly $5 million due to reduced debt and lower interest rates. Vessel sales led to prepayments of $37.5 million related debt, and we also paid $50 million scheduled repayments in quarter one, reducing outstanding debt to $1.49 billion. For our two Suezmaxes being built, we will pay about $90 million for delivery by year end, mostly from arranged loans and for the LNG carrier $36 million by year end and $135 million next year. Indications are that quarter two will be a strong quarter, and as such, we have secured a number of our vessels on charters at attractive rates, as Nikolas mentioned, that has put us in a stronger position, but even in a weakening market, we will generate a healthy cash flow to meet all our obligations. However, we actually believe that the market will remain strong due to positive underlying fundamentals, plus the possible demand rebound as lockdown features fade. And now, I'll hand the call back to Nikolas.
Nikolas Tsakos: Thank you, Paul. And keep on bringing us good news.
Paul Durham: Will do.
Nikolas Tsakos: That’s very good. And I think, with this, we would like to open the floor for any questions that you might have. Thank you very much.
Operator: Thank you. And your first question comes to the line of Ben Nolan with Stifel.
Ben Nolan: Yes. Hi. Good morning, guys. So I have a couple things. First of all, Nikolas, we’re fully appreciating the deal is not done, but you did allude to some things that you're working on. Could you maybe just characterize the kind of things that you're currently pursuing? I mean, are we talking about newbuilds with long-term contracts that we’ve seen -- as we’ve seen you’ve done before, or maybe the segment? Just a little bit more color as to sort of where your head's at with respect to opportunities?
Nikolas Tsakos: Yes. So, I mean, you're going to spoil the surprise. Mr. Saroglou was already drafting a surprise press release for next month. Yes, I mean, similar to our strategy of long employments in specialized types of business, we are in close negotiations for up to three units that will have, of course, significant accretive double-digit locked-in returns. So, I think this is -- as you said directly, it is our strategy will always after your clients request and not really speculative it is in our business.
Ben Nolan: Okay, so, we do another question and I believe that the LNG carrier that’s on order does not have a contract through, what you're thinking about that appreciating that there's a little time before now and then, but obviously, that's a very expensive shift and getting employment on it, I'm sure is top of mind as a respect to your strategy?
Nikolas Tsakos: I think this is a very good moment in other companies. We as a company have the luxury because we are -- if you look on slide four of our presentation, out of a 69 vessels, we have a very diversified fleet. So, we are actually -- we are looking at same business, but makes sense in oil and gas transportation. So, although we have been one of the first movers in gas, we were the first vessel, the very good -- back in 2004. We have never -- and I think, so far we have nothing to regretted it. We have not been convinced that these markets really -- because of all the infrastructure, demand behind it would skyrocket as our good brokers were trying to convince us when they were bringing a clutch of new building contracts for us to sign. But as we believe gas is an important integral part of our business and being a diversified company, we want to follow the developments, having one vessel with another option for the fourth quarter is something that, that even if that market does not grow as expectations, it will not -- we would not fill it in our 69 vessel fleet. So, in the sense, we are continuing to follow developments. We have one vessel very good performer of steam turbine. We followed with a dry fuel technology; this is one of our best earnings today, the marine energy. She's earning I think something like $75,000 a day for the next couple of years. So, I think that's a very accretive to our bottom-line. And then we have the new vessel unnamed -- still unnamed, but is for delivering in January 2022. So, I think, there is lot of time until then to play the market -- see the market -- there are people out there, but our offering as business for the shipper, it's nothing that will hear it one way or the other, the company, but it is our obligation and the [indiscernible] way to follow the development in that market.
Ben Nolan: Okay, that's helpful. And then lastly from me and I'll turn it over. From a capital allocation strategy, you guys are doing a lot of things. There's a little bit of a dividend increase. You're buying back preferred, you're -- it sounds like you're in the market to go spend for growth. Can you maybe just rank order what you're thinking about -- especially given you're optimistic for the future, but I think anybody would say it's still a little bit of an unknown. How are you balancing safety versus growth opportunities and where are the best places for your dollars?
Nicolas Bornozis: Saroglou?
George Saroglou: I think in the pecking order, repaying the expenses perhaps come first and then we can, as Nicolas said, investing in ships, it's a question of market and demand and prices. So, you can not drive that. This is always a priority, top priority. But in terms -- we have enough perhaps to repay before we find something else to do. Let’s put it this way.
Ben Nolan: Okay. All right. Very helpful. Appreciate it. Thank you.
Nicolas Bornozis: Thank you.
Operator: Your next question comes from Randy Giveans with Jefferies. Randy, your line is open.
Randy Giveans: Howdy gentlemen? How is it going?
Nikolas Tsakos: Hi, Randy, very well. Thank you. Latest Q4 is slow now this year.
Randy Giveans: I know, I know. Hopeful, nice buildup. Question around the profit sharing is, with the -- what was the amount there for the first quarter and was that a record? And then, just kind of the guidance for the second quarter, I know rates were reached on, especially in the product tankers in April and are just falling since then. Just to, again, may be give a little more commentary on the market as of today and where it is?
Nikolas Tsakos: No, I think, the market -- yes, the market was very strong in the first quarter, and we had at least $20 million additional revenue from the profit sharing and this is 10%, this is significant. And, of course, the market has been very strong also until now. So, it is expected to have this continuation of the profit sharing, adding to the bottom-line as long as the market stays at these levels. Okay?
Randy Giveans: Yeah. And then I would say, in terms of the second quarter, are you expecting kind of something similar to that $20 million or a little more, a little less?
Nikolas Tsakos: I think what we're expecting is perhaps might be similar and we might see a bit high revenues from the fixed vessels, because the fixed five ships going forward. So I think that's about -- could be the -- a similar profit sharing and then, hopefully, a little bit more from the spot vessels -- sorry, for the fixed vessels.
Randy Giveans: Got it. Okay. And then turning to the dividends, I guess, two questions around that. What would be kind of thinking about raising it by the $0.025, instead of keeping it flat or instead of doubling it, or whatever? So how did you kind of get to that $0.075 for the quarter? And then secondly, looking at the chart on slide seven, it seems like in 2017, there were four quarterly payments of $0.05 a share for $17 million, 2018 it was three payments of $0.05 a share for $13 million, 2019 there was two payments of $0.05 a share for $9 million. So is the dividend now semiannually or how should we think about that?
Nikolas Tsakos: Well, yes. The dividend as gone semi-annual from 2018, that's why I think the – that's why you’ve seen 2018 the – the missing one quarterly payment. And then we have the semi-annual payments going forward. So the payment is…
Randy Giveans: Got it. Okay.
Nikolas Tsakos: June and December.
Randy Giveans: Okay. And then just the…
Nikolas Tsakos: That’s the calculation of the special dividends, it's not rocket science. We felt that because of a good market, our investors should be rewarded a bit more. And this is a one-off. Our base dividend continues to be; in our minds, $0.05 per share twice a year. And going forward, we'll see how the market develops and act accordingly.
Randy Giveans: Got it. And then last question on the reverse split, kind of same question around methodology, you think they are for 1 to 5 instead of a smaller or larger number, if you could get in that low double digit range?
Nikolas Tsakos: Well, what do we try to do is find a figure that would not – would not completely dry up liquidity in the sense of how many shares that would be outstanding because if we have done 1 to10, we will be a 10 million shares outstanding would be a very small amount. So we decided to, with a 1 to 5 is a good platform. We'll be having the share at the $3 it will be higher than we started some time ago.
Randy Giveans: Got it. All right. Well, that's it for me. Thanks again. You all stay safe.
Operator: Your next question comes from J. Mintzmyer with Value Investor's Edge.
J. Mintzmyer: Good afternoon, gentlemen. Thanks for taking the questions.
Nikolas Tsakos: Thank you.
J. Mintzmyer: So, first question I had is, it sounded like the first LNG carrier has been moved to January, 2020, just confirming – or 2022 just confirming that one? And then second, I know you have option for a second LNG carrier. What's the timeline on which you'd have to exercise that option or cancel that?
Nikolas Tsakos: Well, I think it's within the third quarter. But of course the yards today, as you might know, I'm sure you have, because you follow things very closely there starve for orders and they are – they are willing to give more optionality as we say so.
J. Mintzmyer: Okay. Looking for the third quarter, maybe the ability to push that back and then of course, are you confirming January…
Nikolas Tsakos: Yeah. I think – a decision by the end of the year.
J. Mintzmyer: Okay. We'll look for more color on that. And what was the – what was the agreed upon price for that option? That second one.
Nikolas Tsakos: It is similar to the price we have for the – for the existing ship, but depending on market conditions, we might, if we decide to take it we might get a discount.
J. Mintzmyer: Okay. We'll have to continue to watch that. In terms of the remaining new builds, you have three more left, the two tankers and the LNG carrier. Can you remind us of the remaining CapEx and the timeline for those payments?
Nikolas Tsakos: Paul – Paul, whether on the CapEx or the remaining CapEx?
Paul Durham: Right. So as far as the two Aframaxes are concerned, take upon the Suezmaxes, I would have been, are going to be delivered towards the end of the year. We are looking at another $90 million or so that we have to pay. For the LNG carrier, we have about $36 million remaining this year, but another $135 million next year up until actual delivery.
J. Mintzmyer: Thank you for that. I'm tracking $90 million for the tankers and about $170 million for the LNG carriers. And then on your repurchase authorization, you started a $50 million program last quarter. It looks like in the press release, I didn't see any indications that you used that though, is that correct? No repurchases yet? And then secondly, I think there is a little bit of discussion earlier on this, but can you confirm your priority on that? Is that mainly for preferred or are you also considering repurchasing common at this time.
Paul Durham: It’s mainly for preferred, but -- and, we have $50 million press [ph] that we intent to buy back as part in the first quarter, and of course, all for common shares as well. But the priority -- the first priority is on press.
J. Mintzmyer: And is that $50 million of authorization is that in excess of the $50 million that you have reserved for the Series C?
Paul Durham: It’s in combination.
J. Mintzmyer: And a final question for you. I know you mentioned at the start of the call that you're looking into refinancing transactions. But prior to those, so just currently, as it stands, can you remind us of the amortization curve for 2020, and then the repayments for 2021 and 2022 as well?
Paul Durham: For scheduled repayments for the whole year 2020 are about $130 million and in 2021 we're looking at about $160 million and 2022 $150 million, 2023 about $130 million. It will, of course, be balance that we usually assume that the balance will be refinanced.
J. Mintzmyer: That one makes sense. Thanks for your time today and thanks for taking the questions.
Nikolas Tsakos: Thank you.
Paul Durham: Thank you.
Operator: [Operator instructions]
Nikolas Tsakos: I don’t think we have any more questions?
Operator: Thank you. And I’ll turn the call back over to Mr. Tsakos.
Nikolas Tsakos: Thank you. Thank you very much. And again, we certainly would like to thank all of you. The last 10 weeks, since we last spoke, have been really life-changing for many of us. And for sure, our main target has been to make sure that the safety of our shippers around the world has been the most important case. And so far, we have been efficient and supportive of this and we could not achieve that with the help of the whole organization in the dark hours of the lockdown which we still experience in a much smaller fragment. So it's been a very interesting 10 weeks, since we spoke on March 24. The news that we are reporting today are very positive news but the most positive part of our news has been the safeguarding and the health and the safety of our shippers all over the world around our vessels. I swapped out the prospects for the market that TEN is a company that has gone through four crises in the past. Four crisis that are extraordinary to shipping, are not shipping crisis. We have quite a few of those in between. But we started with Far East crisis where the company came out stronger. Then we had 9/11 with two or three years of almost significant reduction of global trade because of the war. Again the company took the opportunity to come up out of it stronger. Then in 2009, the financial crises which really until 2019, we were still absorbing the over bill of that period. And as soon as we started enjoying a good market in 2019, the COVID crises, but again, with the help of everybody, the company, we believe is coming out stronger from that period. The fundamentals in front ahead of us are positive. We believe that we could see reshape recovery there are times before that China, which was the first country in the lockdown could be the first one that will drive its recovery. The OPEC reduction has some silver linings for some trades, create more tonne-miles. In many cases, we already are seeing that India is a doubling its imports in the last since March and it has to take imports from not directly close OPEC countries but for longer tonne-mile routes. We are seeing China having a reduction as it opens up of about $7 million to $9 million barrels a day. And its looking for trades from much for exporting countries that provide more tonne-miles and we just show a lot of Chinese fixtures from the – from the north parts of Russia, from the European part of Russia, four VLCCs were fixed from Moscow, all the way to China and a lot of my tonne-miles in that. And the new buildings – the new buildings as Mr. Saroglou said that down to 8% or 9% of the work fleet. It was a 40% of the work fleet in the last crisis in 2009. So this gives companies like ourselves, a good future fundamentals. So it will be – there might be some opportunities. But we took the opportunities which six of our vessels long-term, during the strong market of the first quarter and the remaining quarter. And we hope, when we talk to you next in September, we'll have much better news and find everybody safe in the world again, Mr. Chairman.
Efstratios Arapoglou: So thank you all for joining us. Let's wish Nikolas and his team a successful quarter, the second quarter. And let's hope that the market continues to be buoyant, as it is, as it has been. And I am sure we will be able to announce to you equally good results next time. Thank you all. Stay safe.
Operator: Thank you for your participation. This concludes today's conference call. You may now disconnect.